Unknown Executive: Thank you very much for waiting, everyone. Now we would like to start the SoftBank Group Corp. earnings results announcement for the fiscal year ended March 31, 2024. 
 First, I would like to introduce today's participants. From left, we have Yoshimitsu Goto, Board Director and CFO; Kazuko Kimiwada, Corporate Officer, Senior Vice President and Head of Accounting; Navneet Govil, CFO, SB Investment Advisers and SB Global Adviser; Jason Child, Executive Vice President and CFO, Arm. 
 Today's announcement is live broadcast over the Internet. 
 Now I would like to invite Yoshimitsu Goto to present you the earnings results and business overview. 
Yoshimitsu Goto: Thank you for the introduction. My name is Goto, SoftBank Group. Thank you very much for your time today. 
 This is fiscal year-end earnings, so this is a kind of a summary for the one whole year. And at the same time, I'd like to share our ideas for the future as much as I can for today. 
 So looking back one year, I believe the biggest event in our company was, of course, IPO of Arm. Last year, September, Arm went public and I believe that was the -- one of the biggest size of the IPO. And you can see in the middle, Jason is also in person attending today's meeting. 
 Arm share price, it was IPO price $51. As of the end of March, went to about $125. So compared to the IPO price, it is now 2.5x. Of course, after then, January and February, there are some up and downs and last week was about $108. So I believe it was a good share price, good performance. 
 So hitting -- net asset value is hitting near record highs with Arm share price surge. So I believe Arm's contribution was one of the biggest contribution to the share price -- or the net asset value as well. 
 So here, I would like to share with you the kind of history with our net asset value. So starting from 1998, I joined SoftBank was year 2000. So might -- almost the same history of mine in SoftBank Group and net asset value's history here. And first, around year 2000, the highlights of the asset was Yahoo! Japan back then. Later '90s, Masa start having a good relationship with Jerry Yang and also Mr. Inoue. Very unfortunately that Mr. Inoue passed away a few years ago. But these are the members, the core members, and who made a big kind of attention from the market by creating and founding Yahoo! Japan. 
 And then SoftBank Group started mobile phone operations at -- with the acquisition of Vodafone K.K. that the SoftBank also started the mobile phone operation. And also we entered into U.S. market by acquiring Sprint. And after then, Sprint was matched with T-Mobile. So SoftBank KK and T-Mobile here, those two are the mobile phone infrastructure company. So I believe this is a very high liquid asset and very high-quality asset from an assets point of view. And of course, Alibaba. 
 Year 2000, when I joined SoftBank Group, the first guest that I made from overseas was Mr. Jack Ma, but then revenue was 0. And Masa decide to invest in JPY 3 billion, and I was so surprised because I used to be a banker. But after then, the development made a great contribution to the group. Of course, share of the Alibaba economically we have already monetized. However, I believe, relationship between Jack and Masa and also the intra-group relationship still continues. 
 Vision Fund started after then, and now that we are growing with the portfolio company of companies of 500 companies. We will touch on Vision Fund also. But now that the IPO companies are more than 50 now, so I believe this is quite a good size that we have been able to grow the Vision Fund business. 
 Then, as I mentioned in the very first page, we acquired this company back in 2016. We spent about JPY 3 trillion level of the acquisition cost. And back then, market analyst criticized us spending so much money, but actually look at now having Arm in our group company and nobody doubts about the capabilities or the abilities for the technologies or the services of Arm providing. So with that, we've been able to grow our net asset value. 
 So we are making big changes here and there. I would say, very bold changes here and there. And is this risk? That's another question that people may ask. Actually that I have a different view on the risk because our risk is not changing. Changing is the biggest risk hedge that our company can do, and that's the management we would like to follow. 
 So as an investment company, I believe now that we became a very unique position and also try to kind of show our value to the market. As of the end of March, our net asset value is JPY 27.8 trillion. In the morning, this, today, was about JPY 26 trillion or so. So that's the kind of asset, which is the highest ever. And also we would like to keep this grow continuously. 
 One of the biggest driver is, of course, the Arm for the net asset value growth. And if you look at this pie chart, back in 2016, when we acquired Arm, tablet, smartphone, those mobile devices or digital devices was already dominantly Arm has provided. So many people have an impression that Arm is mainly focused on mobile market or mobile segment. 
 However, now when you look at their revenue proportion, they have diversified very well, so that mobile was dominant back then. But now mobile is less than 50% in terms of royalty revenue proportion. But of course, the revenue for the mobile is 1.5x since 2016. So while revenue is increasing, but at the same time, other sector is also growing as a result. So cloud, automotive, IoT, so those are the sectors in addition to that. 
 Even in other sectors that actually Arm is making a good growth. And if you see the revenue starting from JPY 1.5 trillion to JPY 3 trillion to JPY 3.2 trillion, so it's very much doubled. And the Arm-based chip shipped is about 1.9x, so almost double again here. And personnel or head count, 1.7x. So revenue, shipments and also the engineers as a company has been doubled in growth. So those are the fact basis. 
 And for the future outlook, how do you see? And here, recently, Arm announced that their earnings results announcement, also provided the guidance. For first quarter fiscal 2024, revenue is expected between 30% to 37% increase. And for the full year basis, for fiscal 2024, revenue is expected to increase by 18% to 27%. 
 So here, we have Jason on our stage, including others like Kimiwada and Navneet. We are all finance people. We are basically conservative people here on the stage. And based on that conservative view, but at the same time, we do every effort to be able to achieve the upside at the same time. 
 And also I'd like to share with you some numbers for the consolidated results. First, consolidated results for FY 2023, net sales was over JPY 6 trillion, and you see the numbers, gain and loss on investment, income before income tax, net income. Net income for FY '23, actually, a net loss was recorded JPY 227 billion. For us, it was not big, but if you look at the change from the last year, net income improved by JPY 742 billion. So compared to FY '22, we have made good progress. 
 I think the good progress is well shown, and the quarterly results from quarter 1 through quarter 4. Quarter 4 net income was JPY 231 billion. Income before income tax was negative JPY 206 billion because mainly due to reversal of deferred tax liabilities. In any case, for quarter 3 and quarter 4, recorded plus numbers in terms of net income. 
 Impact of changes in Arm's share price. IPO was a huge event, as I mentioned earlier. So just to remind you, impacts of the Arm IPO, from the perspective of consolidated PL, changes in the stock value are not recorded because we have over 90% of Arm. It means Arm is our subsidiary. But in terms of net asset value or NAV, of course, value is reflected. The number of shares held at times number -- sorry, share price is reflected here. Gain or loss on investments and net income on a quarterly basis is shown here. 
 As I mentioned earlier, for the 2 consecutive quarters, we recorded a net profit. And orange line shows gain or loss on investments. Of course, it goes up and down, but in general it's been stabilized and we want to have this trend on the positive side going forward. 
 Gain or loss on investments. Orange is investment business of holding companies, whereas the blue indicates SoftBank Vision Fund. As you can see, FY 2022, they recorded over JPY 5 trillion and it improved to JPY 167 billion, which was a huge improvement over the last year. And investment business of holding companies in orange reflects Alibaba. So again, the message here is a huge improvement of SoftBank Vision Fund. 
 On quarterly basis, rather than annual basis, for the whole year, we demonstrated an improvement trend, especially SVF. 
 Now talking about key indicators or 3 important KPIs. First, net asset value or NAV. As of March end, it's almost JPY 28 trillion and doubles in the last year. 
 Loan-to-value or LTV. Smaller the number is, the better. As of the end of March, 8.4%, whereas 11% as of March 2023. So we have shown improvement over 3 percentage points. 
 Cash position decreased a little bit. But I believe that this is contributing to a bigger net asset value. 
 And if you can see the change in net asset value on the waterfall chart, main driver of the increase includes increased value, which is about JPY 10.8 billion and ForEx. Most of our assets are U.S. dollar denominated, so because of the weaker yen from net asset value perspective, we are enjoying positive numbers in terms of ForEx. 
 Foreign exchange is not -- out of our control. And the JPY 3.3 trillion is not bad or good, it's just a fact of the market condition. Going forward, it's likely that we will make an investment in dollar term so we are not really focusing too much on hedging. But the more important thing is to communicate well with you how much impact is reflected on our net asset value in terms of ForEx. 
 Now talking about ForEx. From the perspective of NAV and accounting, on NAV, weaker Japanese yen increased NAV by JPY 3.3 trillion. On accounting basis, especially when it comes to consolidated net income, weaker yen decreased net income by JPY 0.7 trillion, whereas increased equity by JPY 2 trillion. The yen was weaker from 133 one year ago to 151. That was the impact of ForEx. 
 Now loan-to-value, which is an indicator of our safety NAV, if you will. LTV currently is 8.4%. It's almost record low from our company's perspective. On a quarterly basis, as you can see on this chart, generally speaking, it's been improving. 
 And the cash position is plenty, and we have the capacity to try a lot of new things. But I'll talk about that later about our financial policy and financial disciplines. So we want to strike a balance between safety-ness and growth. 
 Cash position, as I mentioned earlier, we have maintained a high level, which is around JPY 4.7 trillion in fourth quarter. 
 This chart shows change in composition of assets held. As you can imagine from the history of net asset value, in 2020, when we had a lot of Alibaba shares on our balance sheet, Alibaba accounted for 48% in our assets held. Now economically perspective, Alibaba is almost 0. Instead, we have Arm, over 45%. Not only Arm, but Vision Fund percentage increased from 11% in 2020 to 29% in 2024. 
 This change is not simply a transformation of the portfolio, not just simply shifting from Alibaba to someone else. Rather, it shows shift to AI-centric portfolio. Arm is core of our AI shift and assets held by us and SoftBank Vision Fund are also AI-centric. 
 So Arm and portfolio of companies should create a new ecosystem going forward, that's our view and that's our expectation and that is reflected in this portfolio. As I mentioned at the beginning of presentation, changing -- keep changing is the biggest or most important risk hedge. 
 Talking about the risk. Regional competition is something that we need to look at as well because of recent geopolitical situation. So China-centric risk, as you can see, has been mitigated since 2020. Investment in China was over 50% in 2020 and now majority is Europe, Middle East and Africa. 
 We have shown several pie charts so far, and now let me talk about the quality of assets. I think there's a big difference between unlisted shares and listed shares because for the listed shares, the values are clear in the market and liquidity is high. And credit agencies' perspective and rating agencies' perspective, I think those aspects are very important. 
 When we were downgraded by the rating agency, it was because -- mainly because we didn't have a lot of listed companies. But now we have over 75% -- or 79% of listed companies in our portfolio. JCR, for example, the Japanese rating agency, raised our rating. So I believe that this should improve our credit. 
 Here on our investment strategy. Masa, in the past few years, once in a while, he comes to the public and talk about AGI, you may recall. This stands for artificial general intellectual, and this is 10x of the human intellectual that can be achieved within 10 years. That's Masa mentioned at his keynote speech of SoftBank World last year. And after then, in 20 years, so in addition to this 10 year of AGI, 10x -- 10,000x of the human intelligence can be -- will be available, so-called artificial super intelligence will be available. That's the kind of big picture we have as a forecast. 
 And right now, we've been utilizing ChatGPT and so on to see the -- our hypothesis for the future of AI, and with that, how can we support the changes of the business or changes of the service. CEO of Arm, Rene, also made a speech at the CEO -- CES 2004 (sic) [ 2024 ] and he said AI is everywhere. You can't run AI without Arm, and I believe that has been well accepted. 
 Arm, as you know, it has great market shares in terms of the design of chip. So they are at the very beginning of the upstream of the supply chain of semiconductor, and that is Arm for my understanding. And when you look at the direction of the AI for the future, there are many issues that we need to solve. For example, completely different scale of the computing power is going to be necessary. Data center is going to be necessary. And if you look at this size, our new electricity consumption of data centers worldwide was 460 kilowatts. And actually, if you compare with the consumption in the U.K. in electricity, it is already exceeding. And how are we going to solve this kind of issue is something that we need to address. 
 One thing, of course, generating power for running the data center is important. But also you can see a different aspect, which is the energy efficiency, which Arm is very good at, and here are 3 examples. For example, Amazon, Microsoft, Oracle, they are actually using Arm-based IP for their products. 
 So as a result, Amazon, for example, AWS Graviton is 60% more efficient than competition -- or competitors or Microsoft Azure Cobalt is 40% more efficient; Oracle, 60% more efficient. So for them, this is very valuable technology that Arm is providing now. NVIDIA also using Arm-based chip for their data center chip. So Arm Neoverse V2 core is deployed and they've been making cost and energy consumption less dramatically. So as Google, they also announced the Google's first Arm-based CPU for their data center. They are also using Arm Neoverse V2 core and 50% better performance and up to 60% better energy efficiency. 
 So AI is now already contributing many places for our technology development or service development. And how that will be addressing each sector or each industry, and that's something that the engineers and experts in technology is looking into. Such area, mobility, health care, service, finance, logistic, manufacturing, those are the areas that are relatively easy to understand how AI is going to be addressed. And with that, we've been invested across various sectors utilizing AI. 
 And also we've been making investment through Vision Fund focusing on such areas and any business model, service models, technology that AI can contribute to. So investment in Vision Fund has about 477 portfolio companies now with those aims and also the highlights and focus. 
 So as Masa said, last year, it's like it or not, AGI is coming. AGI revolution is coming. That's the kind of a very basic story for us. And if that's the case, we want to become the lead for the AGI because we believe in 10 to 20 years companies and individuals working on AGI will lead humanity. So that's why that we are preparing for the base for another growth or another step for the company. 
 And this is the invested amount so far. Fiscal year 2023, JPY 3.9 billion invested, so almost the same as last year. Last year is about JPY 4 billion investments. And this fiscal 2023 was JPY 3.9 million. But on your far right, you see the dotted bar chart -- bar graph. This is the total committed capital of strategic investments and this accounts for JPY 5 billion. 
 So in the whole year, in the coming few years, we would like to invest in this amount. And this is a committed amount. So this is almost about the same or aligned with the invested amount in this year and the last year. So JPY 4 billion plus JPY 5 billion equals to JPY 9 billion is somewhere that we've been facing at. And that actually is almost double the size of the fiscal 2022. 
 Strategic investments. In this fiscal '23, main sector we focused on is the industrial automation and robotics or autonomous driving. So those are the areas that we mainly invested relatively bigger than the others. 
 Each individual portfolio are sometimes coming from the same sector so that they will be able to show a good synergy in between, which I will be touching on in a later page. And one example of the joint venture that I would like to introduce you today is the GreenBox systems. And this joint venture was done between Symbotics and the SoftBank Group. 
 Investment in GreenBox is actually coming from this JPY 5 billion that I mentioned earlier as the committed capital of the strategic investments. So this GreenBox system is going to be providing the warehouse as a service to those customers/clients. So that's the plan. And recently, the first site in California has already launched. They're making a smooth operation and we're expecting 100% capacity offtake signed. 
 So these are the projects that we're working on one by one, so that we'll be able to have a good lead in terms of AI for each sector. And I believe this is an area where we'll be able to see the good result relatively sooner than the other. So that's something that we will be able to share sometime soon for the results out from such joint venture. 
 And these are the AI reshaping industrial automation. So I mentioned like Symbotic, GreenBox or the Berkshire Grey. Also, they are very much in a similar sector, especially Symbotics. They are end-to-end case handling system with AI-powered. So palleting -- optimization of the palleting is also powered by AI. 
 Berkshire Grey, this is the AI-powered picking and sortation solutions company. So various type of the products is picked and sorted in automated way. And if you take a look at their own technology, it's quite interesting. 
 In AutoStore, so they are the company with the AI-powered modular AS/RS system enhancing operations and storage without aisles. 
 So these 3 are different in a way and also having a very good technology. And they are our portfolio company invested from our group, and I believe they will be able to have very good synergies with our existing portfolio companies for the future growth. And after May, this is relatively recent that we made the investment in the company called Wayve in U.K. 
 They are the company that provides end-to-end deep learning autonomous driving system. And this time, the JPY 1 billion investment round and we were main participants. And NVIDIA is the first new investor and also they already have an existing investor, Microsoft. So they have been very much good -- well evaluated by many companies. 
 Actually, they are providing a different type of the autonomous driving compared to the traditional autonomous driving technology. Very much end-to-end, deep learning autonomous driving system on public roads. And with the huge traffic data or driving data, based on the external circumstance, they can make a judgment to drive. So each vehicle look and think and decide to take a route. So this is called also as a GPT for driving, and I would like to share you some video. 
 [Presentation] 
Yoshimitsu Goto: Through the investment in this company in the sector of autonomous driving, I believe that this service offering will be launched in the world much earlier or bigger than we anticipated. 
 Now let me talk about the SoftBank Vision Fund. We saw an improvement trend quarter-by-quarter. But in the fourth quarter, we recorded JPY 389 billion loss. But overall, in general, especially 2 years ago, we recorded a huge loss. It's been on an improvement trend. And going forward, I want to make sure that this trend continues and to the positive direction. 
 Cumulative gain or loss on investments are shown here. We want to deliver results on companies in the pipeline. SoftBank Vision Fund went through a very challenging years and Vision Fund have gone through those challenging environments, and they have built their strength. And those portfolio companies, we have high expectations than before. 
 We have 3-arm funds: Vision Fund 1, Vision Fund 2 and LatAm Funds, which is much smaller than the other two. For Vision Fund 1, they deliver very stable results. Vision Fund 2, they made an investment in a very tough year and they are still expecting future growth. 
 Cumulative investment return of Vision Fund 1 is shown here. As I can -- I said before, it's been steadily growth and delivered good results currently at JPY 106 billion. 
 Vision Fund 2, still under the investment cost of JPY 52.4 billion. But as you can see, most of their holdings are private companies and we are still expecting and hoping them to grow in the future. 
 Looking back the 12 months, we have made a lot of returns. And not only existing, but also M&A are the ways for us to ensure returns. Left-hand side shows strategic exits, which was 14 and gross MOIC was 1.7x. 
 Right-hand side shows select M&A transactions or portfolio companies. Recent examples include Cohesity, which plans to acquire Veritas data protection business, forming a new leader in AI-powered data security and management. And also Tokopedia and Gojek got merged to become bigger. Uber Aurora, Grofers, Zomato, through the synergies, we were able to value up. 
 Of course, we want to make sure that a listing or exit or M&A will not have impact negatively on the market. But again, M&A is one of the ways for us to secure the return. 
 Looking back, the public listing, we made 50 listings. I think 50 is pretty good as a fund. And total fair value of late-stage portfolio was JPY 32 billion. This should contribute to improvement of the fund. So we will watch carefully and communicate with you how those portfolio companies will go. ByteDance, Fanatics, FirstCry in terms of Vision Fund are late stage. And Fund 2 has PayPay and other companies are also at the late stage. 
 And Arm IPO, I mentioned earlier was a huge success. And it was a happy news for Arm and also a positive impact on the market, I believe. And as the IPO market condition improves, I expect more listings and better performances going forward. 
 Now let me talk about the financial strategy before closing this presentation. This shows historical credit ratings. We are an investment company. And if we are just aggressive and being offensive, we might suffer risks. So from a financial perspective, we want to make sure that we are ready for any market circumstances. Of course, recognition by rating agency is very important. Not only for the last 12 months, but since we became an investment company, we want to demonstrate how good we are and JCR upgraded us from A negative to A. And I believe that we are committed to our financial policy and financial disciplines. And our position, I believe, is well recognized by rating agencies like JCR. 
 Financial policy, I believe, is just a summary and maybe you are bored watching this, and this remains strongly the same. We want to adhere to financial policy and figure out what we can do, which is very important. 
 For FY '24 financial strategy, what is the philosophy? What is the thing that we need to stick to? The philosophy is financial management synchronized with investment strategy. We cannot be too conservative like many CFOs -- by the way I try not to say no. But instead, if I say no, it's really no. I believe our management team understands so.
 And I want to be ready for implementing financial strategy as much as possible. But if I believe it's no, I would say no. 
 And financial principles include adhering to financial policy and flexibly respond to all environmental changes with the different options and building trust with each stakeholder. Of course, there are different kinds of stakeholders, especially shareholders and bondholders. We get our money from bondholders and stock market, credit market. We need to closely communicate with those two markets and market players and middlemen, if I may, the financial institutions. We want to make sure that we have a strong and trusting relationship with those stakeholders. So we want to pursue the optimum balance between shareholder returns and financial improvement. 
 Now talking about FY 2024 financial strategy. For those two, stakeholders, bondholder and shareholder, the most important value is to expand future net asset value. I believe that both our stakeholders, shareholders and bondholders would agree with our approach or our focus on expanding future NAV. While we are protecting what need to be protected, we want to execute a financial strategy. 
 Loan-to-value, 8.4% is maybe too low, to be honest, too safe. So while maintaining safety-ness, we want to be aggressive when needed. And in order for us to grow the group overall, credit strategy is also important. Not only utilizing our corporate credit, but also [ authorities ] of assets and excellent subsidiaries. We can leverage those subsidiaries and nonrecourse financing by utilizing assets. 
 So we want to be active. We use nonrecourse financing to support strategic investments. We need to keep monitoring portfolio to make sure that quality of assets are maintained and monetization and reinvestment, that kind of cycle, are very important. And we expect the funds and subsidiaries to focus on selected areas and maintain the quality of assets. I believe that they can do that. 
 To summarize for the last year. First, as of March 31, 2024, net asset value reached near-record levels. IPO was completed and the share has went up. We maintained financial safety. We resumed new investments, $3.9 billion annually. And also, we have $5 billion of commitment. And SoftBank Vision Fund performance improved dramatically. 
 Last but not the least, let me share with you the slide. We are going to have AGM in June. And since Masa is the Chairman of the AGM, as the Chairman, I think Masa will make a presentation in front of you. And please stay tuned. 
 That's all for myself. Thank you very much for your kind attention. 
Unknown Executive: Thank you. Now we would like to take questions. First, we would like to take questions from the floor. Please wait for the microphone and start with your name and affiliation. [Operator Instructions] 
 Now we would like to take questions from the floor. Please raise your hands if you have any questions. Second row from the front. 
Unknown Attendee: I am [ MJ ] from Bloomberg. I have two questions. First, I have question to Mr. Goto. I would like to ask for your directions in terms of the investment from the SBG and investment from Vision Fund. In case of Wayve, it was invested from SoftBank Group. 
 So what kind of companies are invested from SoftBank Group and what kind of companies are invested by Vision Fund? So what is the kind of difference in between those two? So can I ask you once again and can you explain? 
Yoshimitsu Goto: Thank you. First, strategic investment by SoftBank Group and the investment by Vision Fund. So if you invest from Vision Fund, you also need to think about the collection of investment, how far -- how soon you have for the idea of exit story for the company. 
 But when it comes to the investment from our own balance sheet, that is usually a strategic investment. How far, how much strategic meanings are there for these investments? So that's the kind of a difference in between those two we have invested. 
 For the case of Wayve, the decision was made, first, we discussed whether these technology is important from the strategic point of view, especially this is autonomous driving technology based on AI, which is very strategic meanings there. And do we have any clear view on the exit story for this company? Then our answer was no. So for such cases, we see this -- regard this as a strategic investment so that they came from our balance sheet. 
 If the company is already in late-stage at the time of investments, well, if we have a clear view in terms of exit story and have a third-party's valuation already in clear way, then we may consider relatively from the Vision Fund investments. Thank you. 
Unknown Attendee: My second question. Navneet, I see that in the fourth quarter, the disposals were greater than investments. Investments were at JPY 120 million and disposals were at JPY 2.5 billion. I'd like to ask investment plans the Vision Fund in terms of timing. When do you think investments could pick up? And what kind of companies you guys are looking at? 
Navneet Govil: Thank you for your question, [ MJ ]. So in terms -- first, in terms of monetizations or dispositions and then secondly, on investing pace. 
 So on dispositions, as you know, our Fund 1, we're now in our seventh year after having launched in May 2017. And if you look at the life cycle of an investment, we invest in private companies and then hopefully, over time, they will publicly list. And once they publicly list, there's typically a 6-month lockup period. And then after that, we monetize those investments. 
 And given our ownership percentage, especially in Vision Fund 1 companies where, for example, the average could be about 20% equity ownership, we cannot sell them in a relatively short time frame because that will impact the stock price. So what we typically do is we exit them over a period of time. 
 And what you're seeing now is because we are in year 7 of the life of Fund 1 and we have had 50 listings, public listings, cumulatively across all of our funds, a lot of these companies are public and we are monetizing them gradually. 
 It is not accurate to say that we are doing more disposals or monetizations, it's just a natural course of an investing life cycle. You invest in a company, the company goes public, and then over time, we sell. And because we are in year 7 of a 12- to 14-year life of a fund, it's natural to see quite a few monetizations. 
 Then in terms of the investing pace. In 2023, we had a pipeline of 300 companies that we looked at. We looked at a number of companies to invest in. And our criteria is very clear: as Son-san said, we invest in companies at the forefront of technology that are leveraging or using artificial intelligence. So we look at the quality of the technology stack, whether or not they're using artificial intelligence, whether or not there's a strong product market fit, whether they have positive unit economics and whether they have a positive track record of execution from the founders and leaders of the company. 
 So our threshold for investing is very high. We're continuing to look at opportunities. We have a very robust pipeline. We have already made a number of investments in 2024, and we're going to continue to do that. 
Unknown Executive: Thank you very much. Any other question? [ Toyoshima from TV Tokyo ]. 
Unknown Attendee: Goto-san, you mentioned that the financial guys are all conservative. And I think the most aggressive person is not here, which is Masa. Why Masa is not here? What Masa is doing? What he is doing, if you could share with us that would be great because investors want to hear directly from Masa about his message. Should we wait until AGM? 
 The second question. SoftBank is shifting from investment company to AI company. I think that's the message you want to deliver. So when can we see clearly you are now AI company? Of course, Vision Fund performance is still not perfectly well. But when can we see the actual results, good results, of your investment as an investment company and now you are AI company? 
Yoshimitsu Goto: Thank you very much for your question. First, about Masa. Masa has not been presenting financial results for some time and I may not be enough to fill his shoes. And the last time he was presenting financial results, he mentioned that he wanted to focus on thinking what SoftBank Group can do to leverage the move of AI. 
 I have been talking with him a lot. And as SoftBank Group, what can we do in the era of AGI? And what can we do? Maybe this is something to do with your second question, what is an AI company? That's the question. Of course, we are an investment company and we want to lead the era of AI in many ways. So what kind of role should we play? And what kind of role Masa should play?
 We are -- we have been thinking about them. And going forward, we need to deliver the results on our thoughts. And when will it happen? Of course, it's hard to say. 
 ASI, AGI should come in 10 years or in 20 years, a major milestone. We want to lead the AI era together with AI-centric companies. So give us some more time and be patient until you hear from him directly. I don't know how much he can say, but at least at next AGM I believe that he can share with you his thoughts at the moment. 
Unknown Executive: Thank you. Any other questions? The very front row person, please. 
Unknown Attendee: My name is [ Asamira ] from Nikkei Business. I have two questions about share price. So recently, it's kind of a bit of a slowdown these days. And how -- what is your opinion, how do you look at this recent share price? 
 And my second question. Because a slowdown of the share price probably because of the downward predictions or expectations than the market consensus, the beginning of the -- increase in share price was because of the good share price increase in the beginning. So how do you look at the Arm share price for your -- the impact to your share price? 
Yoshimitsu Goto: Thank you. When it comes to the share price fluctuation, I don't become too happy, we don't become too sad for the short-term period of the share price movements. But of course, as an important agenda is that we have many more things to do in terms of making our stakeholders happy, shareholders and bondholders. 
 So compared to our net asset value, share price is discounted. So many people call it SoftBank discount. And solving this SoftBank discount is something that we have been facing and addressing. This is one of the biggest agenda for us. 
 So it's not the short-term period of the share price, but rather that we would like to be more focused on the narrowing of the SoftBank discount. 
 And when it comes to the impact from the Arm share price, of course, there must be some impact. Because Arm is taking -- providing the biggest value to our group and we are very much impacted from the Arm share price. But at the same time, we are not too sensitive in terms of the share price in the short-term period for Arm. So rather that we would like to focus more on the mid- to long-term period of the growth in Arm. 
 And as a result, we believe that we will be able to organically able to grow in the group companies as well. Then I believe that the overall SoftBank Group value, many are coming from Arm, but also that's going to also enhance the other group companies grow. And also the portfolio company, for those that are still the private company, may have also good developments for the future value of the SoftBank Group. So that's something that we rather like to focus more on. 
Unknown Executive: Any other question? 
Unknown Attendee: [ Anharabe ] From Asahi newspaper. I have two questions. First, to Goto-san, the balance of being offensive and defense, which you said at the last year's financial results announcement and you also mentioned back then, you wanted to turn to more aggressive. From that perspective, you turn to aggressive and eventually even though you saw improvement, but still, you recorded a loss. So what's your thought?
 The second, I think there was a report from the U.S. in the development of chip for AI. And you, as the group, may get involved and engaged in the development of a chip for AI. I think there was a media coverage some months ago. 
 So semiconductor for AI sector or development of the chip for that AI, what's your view on future potential and what's the likelihood for you to be more involved in such development? 
Yoshimitsu Goto: First, about the balance between being aggressive and being conservative or offensive versus defensive. In the last 12 months, of course, we want to make sure that we protect ourselves strongly and being aggressive when needed, which we did, I believe. 
 As for the investment, I think $3.9 billion or almost $4 billion was the same level as last year. On top of that, we have $5 billion of commitment. So it's effectively $9 billion level of investment, which was 2x bigger than the last year. 
 And $9 billion, the monetary amount in yen terms, over JPY 1 trillion. So that's a big ticket size, if you will. So we have executed such a huge investment in the last year. 
 In the meantime, Vision Fund saw huge improvement from a JPY 5 trillion loss to almost no loss at all. So again, we delivered a huge improvement in the last year. 
 And second point about development of chip for AI, which was on the media, and I have no comment to such speculation. 
 Jason, would you like to add something as much as you can or nothing else? 
Jason Child: I'm sorry, I don't have anything to add on that topic. Thanks. 
Yoshimitsu Goto: I thought so. 
Unknown Executive: Thank you. Any other questions? Third row from the front. 
Unknown Attendee: My name is [indiscernible]. Two years ago, Masa was saying that he's going to focus on Arm and I believe he's been achieving the great numbers, including IPO event. And back then, he said he's going to be devoting himself, his time, for 100% in Arm. 
 And based on that, how Masa is involved in Arm operation? Is he making a direct instructions to Arm? I think he's quite a guy like that. But now that the Arm is a public company and also becoming so large in terms of the net asset value, how Masa is involved in Arm operations? How he directing? That's my first question. 
 And the second question is about rating. So JCR is upgrading and S&P downgraded. So it's going the other side. So is it based on the share price, S&P never agreed for upgrades. So how you see this discrepancy as CFO? What is your view on that? 
Yoshimitsu Goto: Thank you. Yes, about two years ago, I do recall that he's going to be putting all his energy in Arm and that idea or the base concept itself hasn't changed, really. 
 As I mentioned in my presentation, too, that Arm's capability in designing chip is so essential for the full-fledged AI development for the future. The product service never be able to catch up with the speed without Arm-based chip. That's the clear message by Rene. And also, that's the kind of a message from Masa as well. 
 So for the future AI development, tremendous development, I believe so many things is going to necessary. But the very bottom, very base is going to be Arm-based chip and their capabilities, upgrading such Arm-based chip. So like NVIDIA or other companies needs Arm capability, Arm technology. And having Arm-based chip together with the product, they'll be able to provide the latest edge technology. And also for the future AI development, I believe those clients still regards Arm as an essential partner for the future in AI development. 
 So Masa, it's not that only himself can do anything. We need management, engineers, members from Arm and also the global network of Masa and Tokyo people, clients, friends, so many people are actually contributing to the next service or any companies for next era with AI development. 
 And with that circumstance, what SoftBank can do, what SoftBank can lead, that's something that Masa is thinking. So Arm is growing. Of course, Arm growth is probably the most obvious things from you, end market. But starting from Arm, I believe that there are many things that we may be able to create and build around that. 
 Jason, do you have any additional comments on Masa's involvement? 
Jason Child: Yes. I guess, the only thing I would add is that the world of AI and all the different players who Arm has deep relationships with is a space that is it's very, very early days. And I think the needs and the understanding of what each of the different partners that Arm has is something that is constantly changing, especially because it's such a nascent opportunity. 
 So I know Masa has been engaged quite heavily with Rene, our CEO, in those discussions and dialogue to really make sure that it's clear what the opportunity is, but also what is some of the opportunities that both Arm and SoftBank could provide that might be unique in the market. 
Yoshimitsu Goto: Second question about rating. So the dialogue with credit rating agency, we are having a very close communication with them. Things that we would like them to evaluate -- or value does not always match with their criteria and what happened. That's always the discussion point. 
 A company like us, investment company, I believe, is very unique. When you look at investments company, they usually do asset management or they usually do investment fund. But actually, we also do the investment on using our own balance sheet and at the same time operating a fund. And at the same time, net asset value and looking at the balance sheet's healthiness and if you see the default of the bond risk and bankruptcy risk, how you look at that, that's the question. 
 I thought that it's very easy to explain from our point of view. But when they look at the sector, I believe that the example is very few. They cannot really compare with a peer. I believe that's something that is always difficult for S&P to value us. 
 JCR, actually, I believe they are step one -- one step ahead and they show us -- they provided us with the upgrade. Thank you. 
Unknown Executive: In the interest of time, now we'd like to take questions from Zoom participants. [Operator Instructions] First, Nago-san from NHK. 
Unknown Attendee: [ Nagoshi ] from NHK. To Goto-san, you mentioned JPY 5 million (sic) [ $5 billion ] commitment. I think that investment is from or by SoftBank Group. So $5 billion, is it last year's only or going forward? So what's your view on SoftBank Group's investment in the future? 
Yoshimitsu Goto: The $5 billion is the commitment and the contract was concluded in the last fiscal year. 
 When it comes to payments, timing of payment, some determined, decided and others, for example, GreenBox, the joint venture by us and Symbotic. And for such a new investment, once it's concrete and once a project is on schedule, we will make a payment accordingly. So there are different pieces. 
 Going forward, the investment by the SoftBank Group, that's the financial discipline that I'm talking about to decide. So long as we can protect our safety-ness and financial discipline, I think the amount of investment will naturally be determined. So I think we want -- we can communicate with you on a quarterly basis. 
Unknown Attendee: Talking about financial discipline, looking at the financial report, I think you are in a very safe side. You resumed investment last year, you said. But going forward, again, the size of the investment going forward, what's your view? What's your thought on that? 
Yoshimitsu Goto: Yes, we make an investment plan, but we don't disclose such investment plan. So we cannot say anything about our investment plan. But if I may repeat, so long as we can meet financial discipline, there should be a capacity for us to make an investment. And I believe that our credit -- our investor understand our financial policy and discipline and shareholder or share investors can also understand. So again, how disciplined we are is something that we would like you to keep watching. 
Unknown Attendee: Yes. Again, you are very in a safe position in terms of financial discipline. So can we expect a little bit more aggressiveness going forward? 
Yoshimitsu Goto: Well, actually, we have made $9 billion investment, including the commitment. So again, like I said, I personally think it's a good amount of investment. Going forward, what we are going to do is to communicate with you on a quarterly basis while maintaining safe and soundness of our financial position. 
Unknown Executive: Next question from [ Mr. Hugo ] of Bloomberg. 
Unknown Attendee: Yes. My name is [ Hugo ] from Bloomberg. Can you hear me okay? 
Unknown Executive: Yes. Thank you. 
Unknown Attendee: So thank you for the presentation. So from defense to offense. So shifting to offense, I believe that has been the kind of keyword for the last quarter results. And when you look at now, what is your position once again? 
 So results are improving largely, which I can understand from today's announcement. But how far are you going to go for offensive, which has not been fully communicated to the market. So AGI, ASI in each stage while keeping your financial discipline, how much investment are you going to make? 
 So in media coverage, you're having a discussion with Middle East investors or JPY 10 trillion, those are the numbers that we see on the news coverage. Even that can be just long term, but when you go to the -- from defense to offense, how offense -- how much offensive are you going to become? That's something that I would like to ask you. 
Yoshimitsu Goto: So today, we explained about the financial results in SoftBank Group. And for credit, I also explained about the SoftBank Group level of the financial discipline.
 Also having a variety of the diversification of the financing option, we can also keeping our credit and at the same time able to increase the activity as well. So there are many ways that we can do. 
 For example, one good example can be project financing is one thing. So project finance means if you build any product, there are always buyers at the end. Then as long as you can assure this buyer, then the bankers will give you money, loan you money. 
 In our case, equity investor is like 20%, 30% equity so that we will be able to build the structure. So for example, JPY 100 billion finance, then the [ bank's ] exposure can be JPY 200 billion, JPY 300 billion -- JPY 20 billion or JPY 30 billion. So that's one example that we'll be able to consider. 
 Or we can utilize an asset, so having a leverage by asset-backed way, that is nonrecourse to SoftBank Group, which means that it doesn't damage our credit. So it's not always our business size and credit are simply equal. 
 So on the way of the variety or diversification of the financing option, we can -- we could challenge -- make a big challenge as well if we wish to do so. So that's the kind of a mind that we have and try to make steps for. So while -- so that means that while we're keeping our financial discipline, still we'll be able to make any challenges if we wish to do so. 
 So keeping our credit, keeping the financial discipline so that we can have a good discussion with our rating agencies while we're keeping our healthiness or soundness of our financials, and at the same time, we will be able to consider the challenge [ or ] any projects. Of course, there are many other agenda that we need to discuss. And hopefully, sometime soon that we'll be able to share with you more specifically when it's ready. 
Unknown Executive: Thank you. Next, we'd like to take questions from participants participating on Zoom in English. Also David from Financial Times, please unmute and speak. David from Financial Times. 
Unknown Attendee: Can you guys hear me? 
Unknown Executive: Yes, we can hear you. 
Unknown Attendee: Can I ask us one question on Arm to begin with. Does SoftBank think need -- think Arm needs to go beyond chip design in order for the group to achieve its AI ambitions? 
Jason Child: This is Jason from Arm. So I'll take that one. So I would say no, it does not. There is -- you probably heard our CEO, Rene, talk about you can't run AI without Arm, which actually Goto mentioned in his presentation. 
 And some of the proof points are if you look at the number of chips shipped that have AI capability, we're obviously extremely prevalent. If you look at some of the largest, most successful products out there, for example, Grace Hopper now recently Grace Blackwell from NVIDIA. The Grace portion of that, of course, is designed by Arm. And so we're already a very large player in the space. 
 So I would say no, we definitely don't need to be, to be able to realize certainly the plans that we provided back at IPO. And then, of course, just last week, we had a strong quarter, raised our guidance and then provided a strong growth trajectory going out the next 3 years north of 20%. And that's all based on the design business that we're known for and certainly have a significant market share at over 50% of all the application processor chips in all of the largest end markets. 
 So we feel we have great coverage and don't feel like it's something that's necessary. 
Unknown Executive: Did he answer your question? Thank you very much. That's all for Q&A session. 
 This concludes the SoftBank Group Corporation earnings results announcement for the fiscal year ended March 31, 2024. The video footage of this meeting will be distributed on demand from our corporate website. 
 Thank you once again for joining SoftBank Group Corporation earnings results announcement for the fiscal year ended March 31, 2024. Thank you. 
 [Statements in English on this transcript were spoken by an interpreter present on the live call.]